Operator: Good morning, and thank you for waiting. Welcome to Companhia Paranaense de Energia - COPEL earnings call to discuss the results of the Second Quarter of 2019. All participants are in listen-only mode during the Company’s presentation and later we will hold a Q&A session when further instructions will be given. [Operator Instructions]Before proceeding, we inform that forward-looking statements that might be made during this conference call related to COPEL business outlooks, projections, operating and financial projections and goals are based on beliefs and assumptions of the Company's management as well as on information currently available to the Company. Forward-looking statements are no guarantee of performance. They involve risks, uncertainties and assumptions because they relate to future events and therefore, depend on circumstance that may or may not occur. General economic conditions, industry conditions and other operating factors may also affect the future results of Copel and could cause results to differ materially from those expressed in such forward-looking statements.With us today in this conference call, Mr. Daniel Pimentel Slaviero, CEO of the Company; Mr. Adriano Rudek de Moura, CFO and IR Officer and other officers of the company.The presentation will be delivered by Copel's management and may be followed on the Company's website at ir.copel.com.Now, we turn the floor to Mr. Daniel Slaviero, CEO of the Company.
Daniel Pimentel Slaviero: [Interpreted]Good morning, everyone. Thank you very much for your participation in this conference call about the results of the second quarter of 2019.It is with a great pleasure that I share with you the delivery of another quarter with sound and consistent results where I start highlighting adjusted EBITDA of BRL1 billion, representing a significant growth of approximately 30% vis-à-vis the first quarter of 2018, already going over in a quarter BRL2.1 billion in the same comparison base and cash generation before investments we are BRL1.1 billion in the second quarter amounting in the semester a record generation of BRL2.5 billionI also want to highlight the continuous improvement in COPEL distribution where basically we have reached our regulatory EBITDA considering the last twelve months. This, ladies and gentlemen, is a landmark in the company’s history and one of the commitments of our management.This result, in addition to increase our responsibility also encourages us to execute on our main mission, which is to create value to COPEL’s business as we are already acknowledged by independent rating agents and I want to mention that the national rating of COPEL has been upgraded to double A that was certified by Fitch on August 2.In this review Fitch has highlighted the strength of the company’s consolidated financial profile with the expectation of free cash flow positive in the next few years as well as an improvement in the liquidity profile of the group benefited by the recent fundings from 2019 and talking about founding whether we have a first half of the year which was very intense.And the capital market operations we had the execution of five operations in different companies of the Group totaling BRL2.7 billion efficiencies in the period and the most recent was BRL1 billion in COPEL GeT the first of the subsidiary already as a listed company category B and the process of registration with CGM was started and concluded in the first month of this management representing our commitment to strengthen continuously the governance of the company increasing the transparency of our businesses.Also, this funding for COPEL GeT as a listed company category builds and contributes to a relevant reduction on funding costs. Therefore, we will be able to say that our funding plan for 2019 has been concluded and have met all the demands both regarding the large concentration after – that were over BRL3.3 billion, but also considering here the investment in this period.So, considering the additional cash generation based on the improvement of efficiency and also this entry of new projects our net debt starts gradually come down as well as our financial leverage, which has reached a net debt EBITDA ratio of 2.6 times at the end of this quarter similar to what we had in the first quarter of 2019, but way below the 3.1 times of the second quarter of 2018.Now about our construction works. We have already started on the prior quarter and we talked about the substantial conclusion of the work such as Cutia Baixo Iguaçu, Colíder which are important projects. They are already in operation and helping the growth of our results.I have here Mr. Bertol and remember, the commercial operations and 100% of this project with them we will have a total increase in the installed capacity of the company of over 700 megawatts which is equivalent to a growth of 13% and even more importantly we will have an additional cash generation of around BRL450 million.In addition to the generation projects, we also have two other relevant projects ongoing that when concluded, they will generate an additional annual permitted revenue of BRL245 million, an increase of 30% of the APR existing of BRL845 million, one of the projects that is 100% of COPEL is slightly about auction 515 of November 2015, which should be concluded up to March 2021.Also part of this project referring to Substation Medianeira and Baixo Iguaçu – Realeza is already in commercial operation. One year and seven months before scheduled in Baixo Iguaçu. This shows a new perspective in a new way of the companies to work with these undertakings. And also, without these projects, we will have an additional annual permitted revenue of BRL19 million.Another important undertaking is the transmission line at Eletrobras to Brasileiras an important line, transmission line was over 840 kilometers of extension under the responsibility of SPC Mata de SantaGenebra, a strategic partnership between COPEL GeT with 50.1% and Furnas.In this case, after a detailed evaluation of each state of the project, as well as the respective financial flow we had to approve a new business plan which has changed the commercial operations part of some stages of the project and it had a negative impact on the consolidated results of COPEL and the equity income line in BRL64 million.And I need to highlight here that the level of tolerance of the company with this type of delay has changed in addition to a strict follow-up in the works. In this case, specifically, we have replaced all members, all executive members because, the first plan was not followed.So, starting in August, this SPE is under Mr. [Indiscernible] Junior, a former director of NL and he is a very competent director and I would like to stretch the COPEL generation and transmission has reached in the second quarter of 2019 a result of adjusted EBITDA of BRL630 million, 45% higher than the same period of last year showing that this is the main subsidiary it adds the cash generation in the company.Now turning to the next slide. I should highlight with details the progress of the results of distribution – total distribution. Basically, we have reached the regulatory EBITDA in the last 12 months of BRL1.054 billion. We are just 1% below the regulatory EBITDA. And look, one year below we had a gap of 40% and that proves that we are being able to efficiently execute an aggressive plan of operating improvement and cost reduction and progressing consistently quarter-on-quarter.Such achievement is a consequence of the Travessia Plan, which has been started at the end of 2015 when we signed a new concession contract which is focused a lot and this was a concession contract with Aneel. It focused a lot on operating efficiency and demanded a large effort especially because of our headcount reductions.And now we foresee for the next years a new plan that’s going to call 12,000 or transformation and the objective is to take COPEL’s tradition in the next years to a level very close to the best references in this industry.I also should highlight that in the second quarter of 2019, that this result was BRL287 million growth over 24% vis-à-vis the same quarter last year and that is thanks to the 1.4% growth in the grid market and the reduction of 1.9% of PMSO.If we compare the semester, we had an EBITDA growth of over 70% in COPEL distribution. So there was BRL617 million and a relevant drop of almost 9% vis-à-vis of PMSO, vis-à-vis in the same period of last year. In addition to that, we have fully applied the adjustment of 3.41 approved by ANEEL in the last month of June and we maintained our statutory commitment and our governance.For this next year, we are focused in our strategies to increase the regulatory as a base for the next tariff review which will happen in June of 2021. Currently, our AB is BRL4.9 billion and for 2019, our CapEx is BRL835 million, of those, around BRL410 million have already been invested up to the end of the first semester.In addition to these investments in expansion and improvements and the network we are also investing in smart solutions to reduce cost than increase quality especially in the regions west and southwest of the state, where we have a main productive area and these works will benefit over 200,000 people and especially agro business, which is very relevant from there we have several substations.And we will have hundreds of kilometers of new high-voltage lines and up to 2021 distribution and we will install automatic reclosers, self-fueling devices, high-voltage regulators, that is all types of tech innovations in our industry.To maintain that investment dynamic in distribution in the next month is how we are going to provide a more reliable service by having a robust asset base that allows us to have efficient operation at lower cost. In addition to that, we also have launched the project to implement the state-of-the-art technology and energy grids taken in a fundamental step to go into this smart grid.The ADM solution Advanced Distribution Management system consisting in an integrated platform that adds software that are able to control the grid in real-time and with full precision and this project has three year time to be concluded and max will help us there and this project will take the company to another level of reference and innovation technology efficiency and management in the energy distribution system.Now turning to the next page, I would like to mention something that this administration, this management and I myself have dedicated special attention which is the focus of our strategy to higher energy – contract energy for the next year. We are permanently reviewing this strategy, so that it can minimize the risk of the company and gradually increase the levels of energy that is being contracted always at an attractive price.It is important to remember that we will always have a percentage of energy available to work as a natural hedge for DSF under that context, I also would like to stress that, the synergy between COPEL GeT and COPEL Com, our commercialization company has generated positive results to the Group COPEL Commercialization for instance, in addition to its strategic row has done over BRL700 million in the semester of net operating revenue almost two gigabit of commercialization and have reverted and now shows an excellent positive EBITDA.Finally turning to Slide number 8, and now concluding my presentation before I turn the floor to Moura, I would like to say that, in the last week and we had a meeting for a strategic planning for the company and we gathered all officers, superintendents and especially, we had the participation also of the members of the Board and also the support of specialized external consultants and this – out of this meeting, we had several guidelines.But the main one is that, we want to be a state company with a private mindset. And what does that mean, that we intend to maintain a consistent strategy in value generation that follows these guidelines, the continuous strengthening of corporate governance, improvement in efficiency and cost reduction, discipline in capital allocation for new projects.We already talked about that and I will give you an update. Divestment of non-core assets, telecom and Compagas and an efficient management of projects.In addition to that, you know that it has been approved in the house of representatives law that allows us to an agreement and extend concession contracts. So we expect that in August, this is already approved in the Senate and that it will address our patent for – that will then gain priority.And finally, I should say that we’ll continue paying attention to new businesses and innovation such as distributed generation, electric mobility, smart grids, and also services. And in these topics that I mentioned to determine an additional highlight.The process of divestment of telecommerce following our plans and we have already announced that we have higher – bank and also the law firm to compare it to help us in studying, that, say, we estimate that the conclusion of the process will happen up to 2020 – March 2020. Actually, we are going to work hard, so that it really happens up to Marc 2020.And the second topic I would like to highlight is that, in this planning meeting, we’ve talked about this and I kind of already mentioned that we are going to create a committee that will strengthen governance in the decision process of investments in line to the commitment of maintaining a very strict discipline in our capital allocation.And I also should say that we are following up the discussions about the new regulatory framework about the gas industry and the changes might bring us good opportunities.To end, I would like to remind just something that I always say in our calls. The keyword in this company is execution. We want to make sure that our strategy to improve value for the company will be more forward in an efficient manner.Once again, I thank you very much for your participation and I am available at the end of this call to take your questions. I would like to stress my confidence and the efficient execution of this ambitious plan that we just shared.Now, I would turn the floor to Moura who is going to go into the details of the results.
Adriano Rudek de Moura: Good morning. Thank you, Daniel. Good morning everyone. Thank you very much for being with us in this call. It is with great pleasure that I share with you another quarter with sound and consistent results. We know that the continuous improvement is, thanks to a greater alignment of all the areas in the company to our sustainable growth strategy.And I can tell you that the execution of our strategic plan so far is substantially following our targets and the market’s expectations. We know that these results are encouraging. But we also know that they increase our responsibility in allocating with a lot of discipline the cash generated by our activities.And this is one of our main strategic points by the way as Daniel has already mentioned and we will continue following that.On Slide number 10, specifically about the second quarter of 2019, Daniel has mentioned but I would like to highlight that the adjusted EBITDA of over BRL1 billion represents a growth of 30% vis-à-vis the prior year on the same comparison base, that is without the recurring items and other highlight is operating cash generation after investments which has grown 12% in counts, with an important contribution of new projects as planned.In the second Q 2019, new projects, the amount of new projects, especially, Colíder and Baixo Iguaçu, and also the wind farm Cutia has reached approximately BRL100 million, almost BRL200 million in the first half of 2019 and of BRL95 considering the EBITDA of this half of the year BRL46 million in the quarter, this was already expected.But this is a relevant contribution in the GeT results both for the first quarter as well as in the half of the year and now it becomes recurring and I also highlight an improvement in adjusted EBITDA of GeT BRL630 million, 45% in the same comparison basis eliminating the non-recurring impacts, net of all non-recurring impacts in addition to the new projects that is in addition to the benefit of the BRL45 million we already mentioned.We also had an improvement in the hydroelectrical risk with a reduction of purchased energy for resales because of the higher GSF in the period which was 92.9 vis-à-vis 60.6 in 2018 and a lower spot price and this is very significant.In the second quarter and this year, the average was a 131 and 37 vis-à-vis 303 and 68 at last year. Our revenue, talking a little bit about revenue of BRL3.6 billion, 2% more almost, vis-à-vis last year. Adjusted net income was around BRL420 million also a relevant growth, 47% if we consider just the net income of prior year among the factors that have contributed to these results, I also show the highlights.Again, Daniel mentioned that these results BRL287 million in the quarter, a growth over 24% and then almost in the regulatory target. Specifically, on this, it’s important to say that we had a reversal of BRL28 million regarding provisions for tobacco growers litigation.This reversal is already a result of task force we created to review our liabilities with litigations and we – several areas are working here and we already see positive results. But these positive results ended up being taken up partially by the extraordinary increase for provisions with delinquency losses, because of the bankruptcy protection process of some large clients. We understand this is a one-time situation and we do not expect this to happen again in the next quarters.And now, we would like to highlight other factors that have also contributed to the improvement of results in this quarter. We already mentioned the growth of the grid market of 1.4% way below of the first quarter which was 5.1.But, there was a relevant growth overall also 9.6 growth in the consumption of the free market an improvement in the industrial production of Parana, vis-à-vis the same period of 2018 when we had the triggers straight. This is the period of where we compare in 2018, we were very much affected by the truckers’ strike. The growth of electric energy supply, this is relevant.And so, almost 18% is, thanks to the increase of energy sold to final – to end-customers and I should highlight here the consumption of industrial free market, like Daniel mentioned, we have here a synergy which is growing strong between GeT and Com. And also we had the impact of the tariff adjustment and COPEL Dist which was around 16% in June of this year.There was a reduction in our headcount. We start seeing the results. There is a net reduction of 1.7% and here we have several aspects to be considered, but in fact, we did have a higher reduction of our voluntary redundancy program. Almost 900 people left the company. Only in last year 566 employees left the company and 300 and almost 400 are in December of 2018.So, considering inflation of almost 3.5% in the period, the cost of headcount has reduced in around 5% given if we consider the wages adjustment of around 4% which we had on our collective bargaining agreement in October of 2018.In addition to the measures to reduce costs with headcount, we are executing other initiatives for cost reduction such as reviewing the main contracts including services, outsourced fleet, focus on bringing down delinquency and also labor litigations and other contingencies. So, I stress what Daniel has already said. The reduction of cost is an improvement in efficiency is part of our agenda.Now turning to our next slide to compare the operating performance of each business. We show here the comparison of the adjusted EBITDA net of non-recurring effects and they were basically registered in the second quarter of last year.You’ll see a chart below showing that summarizing we have the reversal for impairment in BRL18 million and also provision for labor litigations which last year we had a collection action of almost BRL435 million.So for comparison basis, we are eliminating the impacts in the second quarter of 2019 this year. We have identified as non-recurring and impairment provision and the amount of BRL14 million basically related to Colider, just meant also we have here in the equivalents line – we have instead it’s BRL64 million for Mata de Santa Genebra because of a change in the schedule and investments.And the consolidated adjusted results has already shown the strength improvement of our EBITDA in the quarter, a growth of 30% not considering the equity method. And the top chart we have the EBITDA for each subsidiary in addition to this, also GeT, I already mentioned that they are very relevant.And here, I mentioned again that the revenue of new projects is significantly contributing to our results and I should remember that we still have an improvement with the end of the less turbine that will be ready now. So we – COPEL Telecom had a drop of 25% going from BRL44 million in the second Q 2018 to BRL33 million in 2Q 2019, basically because of the fact of write-offs regarding the deactivation of assets.Next page, we have our PMSO adjusting, also the extraordinary effects. As we already said, there was a reduction in around BRL5 million and costs with headcount reduction in 1.7% vis-à-vis last quarter or in the quarter last year, because of the reduction in our headcount and part of that also is higher provision in the participation of profits also because of the good results of the quarter.So, if we do not consider these effects of profit sharing program, the costs with headcount had a drop of 5.4%.If we consider inflation and the collective bargaining agreement with the wages adjustment, we could say that we had a real reduction of 8.5%. This is a significant result in one of the largest costs of COPEL currently. On the others line, in the second quarter of 2018, we had a non-recurring event in the amount of BRL72 million which was a payment coming from suppliers of goods in Brisa Potiguar.Therefore, if we compare the whole base, the amount was basically stable. With these adjustments, manageable cost have a reduction of 1.8% in the quarter and if we consider inflation, the reduction was over 5% which shows once again the effects of the company’s strategy to improve efficiency in new businesses.And I would like to end by saying that we continue having other initiatives that are going to be implemented during the second half of the year, so that we can reduce more our cost than improve even further our efficiency.In the next slide, very briefly, I show here the cash generation for operating results highlighting the variations on the working capital which is positive both for the first and second quarters especially because of the increase in the suppliers account. So we are improving results and also the efficiency of our assets and the working capital.We have already talked about the results. Here we have BRL1 billion in the quarter. Before investments, BRL2.5 billion in this semester in addition to the improvement in the operating results, we also have – we are also accounting with that participation on our results showing that our terms are in line with our cash generation ability. And this is our goal. We are not going to spend more than what we generate in cash.Now turning to Slide 14, very briefly, you can see the history of our investments since 2016 highlighting the amount that was directed to generation and transmission projects. And now, they show results. We are talking about a reduction of expenses that we already made this year when we compare to last year. So, 30% reduction, almost BRL400 million.And here, we highlight this BRL974 million expense in the first half of 2019. Most of that or not most of that, but 40% approximately, BRL400 million were directed to investments on this stressing our strategy to increase the – our ADS we already explained the market two months again. I stressed that our focus would be the conclusion of the works and improvement in quality efficiency.We are totally focused on that especially, when we talk about investments in technology in this which may reduce cost and increase the remuneration base of those assets. As Daniel said in the introduction, we are going to have a new level of governance for this new project with a strict evaluation of risks and opportunities in a way that we can maintain the better choice of capital allocation and I believe that’s also going to strength the governance.Now, turning to Slide 15, we have the history of our leverage giving 3.4 times in 2016 and reaching the end of this half of the year to the reasonable level of 2.6 times, that is, thanks to everything that we said so far. I don’t need to repeat myself. And as we always stress, the leverage is one of our main priorities and I am confident in saying that this leverage is going to be reduced.From now on, when we conclude all these works and we do not have any expectations to have new debt, at least not for the next year considering the demand level of investments that we have already approved in our Board.I would like to highlight once again, as Daniel has mentioned, the five issuances in the capital markets in 2019 is wonderful work from our team over BRL2 billion in funds that will meet the demand of investments and now we have a large concentration of those that happened in May and June. So we start seeing the gradual reduction of our debt and of course that we are supported by the good performance of the company.And we can also say that, with this funding, we will extend our liabilities issuing debentures at the lower interest rates and for the past three years in addition to extending the duration of the debt.Well, these are my comments. Thank you very much for participating in this call with us and we are now available to answer your questions.
Operator: [Operator Instructions] Our first question is from Mr. Andre Sampaio. Santander.
Andre Sampaio: [Interpreted]Good morning. I have two questions. The first, you have said in the – you mentioned about the gas and the new landmark for the new regulatory framework for gas. And I would like to understand more about this opportunity.And the second question, you mentioned that, you might have the very good level of contracted energy and I am thinking about what is this optimum level of contracted energy, so that we can understand that vis-à-vis I guess that.
Daniel Pimentel Slaviero: [Interpreted]About gas, just like all the factors, we are following up the measures that are being announced by our federal administration. But we are still in our preliminary studies. We are tracking what was real. But in addition to normalize what is operation which is our priority and new gas suppliers, so that we no longer have that monopolization and Petrobras.But also there are several discussions, several groups here discussing that, talking that over the whole Brazilian court and we are interested in Parana in south region for possible opportunities about LNG and other projects related strategically. But this is very preliminary, very initial, because, first, we want to see the consolidation of these new measures in the gas sector before we make any consistent moves.About the energy contract, the level of energy contract is for the natural hedge of the GSF, our expectation is always to have it around 18% to 20% of energy available. Except for that, we are gradually reviewing the level of energy contracted for the future. But, we always intend to have a more of a conservative profile with zero risk.Always guaranteeing the right efforts mix. So, if you see in our presentation, COPEL GeT and all our wind undertakings are consolidated and before we have a global view of our portfolio. That is a permanent concern of ours. So it’s important to say that, the company had a very successful strategy in the best eight years and any change is going to be gradual and we will have to discuss it with our definitions.But, yes, higher energy contracted levels will provide the stability to the company and to the markets.
Andre Sampaio: [Interpreted]Thank you very much. Now a quick follow-up in the gas markets. The priority would be really to focus on electric energy and are focusing on the gas markets, right. It would not be specific gas transportation or maybe give up the sale of Compagas, right?
Daniel Pimentel Slaviero: [Interpreted]Transportation, no that’s for sure. Now about Compagas, we are maintaining our strategy of that estimate. There is no new real fact, although the Compagas has had improvements and now, so because of the fact Compagas has opened a public offering and this is going to reduce costs and Petrobras itself has already came forward with lower cost.But so far, we do not have any real facts to review the gas distribution process. We want to focus on energy generation regardless the source except coal, for instance. This is something that we are reassessing.
Andre Sampaio: [Interpreted]Perfect. Thank you so much.
Operator: Mr. Gabriel Francisco from XP Investimentos has a question.
Gabriel Francisco: [Interpreted]Good morning. Good morning, Daniel, Adriano and everyone else. Congratulations on your results. Continuing on Andre’s questions, but going to the details, but recently, Petrobras has expressed their intention to sell its PTs or I am sorry, TPTs and maybe or shares of that. On your side, is there any interest to address other carriers Vargas maybe to become the controlling shareholder, is there anything along those lines considering that now gas has a lot of protagonism and sales?Now, second question, are you moving towards – you are moving towards to a drop in your leverage, which should happen very quickly. If there are no other opportunities of growth with return and if the company goes into a deleveraged scenario and if you have room in your balance, would you consider increasing the payment of dividends?
Daniel Pimentel Slaviero: [Interpreted]Gabriel, thank you for your two questions. The first one, I will address and second Moura will answer. About Petrobras, as you said it yourself, the major focus today that it would be willing to sell 15 year out of the 20 – that it has. Next week, we are going to have a meeting, me, Bertol and Moura will go to Petrobras.We will have a meeting there with the director of this area exactly to understand the timing of that strategy and if they have the divestment plan and they have that included the divestment of the 20% they have in Vargas obviously.We should be able to go for it under the reasonable market conditions. But, gas today is the sexiest subject and the market we are following that up and this divestment line of Petrobras is something that we are going to take a look at, but our priority is to have – at its operation the way it was for 14 or 15 months is a huge loss for the company.
Adriano Rudek de Moura: [Interpreted]Gabriel you are right about the leverage. So, yes, the expectation is to reduce it even more. But let’s not forget that we have a huge challenge which is – concession that is due in 2023 and we have a relevant that there. So the – we can take part in this auction or as Daniel has mentioned, if that sale is approved, we might have a lower need of funds. But even then, we would have to increase our leverage to face that investment.So this is a relevant investment. And we have that mid-term view. But, our mission, yes, is to look for new projects that are sustainable with this strict financial discipline level with the investments committee where we discuss opportunities in a very timely fashion. But dividends are a consequence and we will have to discuss that further on.That’s not part of the agenda right now because we are focused in addressing the problems that we have in 2019 and 2020 in the short-term. But this is a possibility if we do not find the project, the revision of this dividend policy will be then a consequence.
Gabriel Francisco: [Interpreted]Perfect. Thank you so much.
Operator: Ms. Lilyanna Yang from HSBC has a question.
Lilyanna Yang: Thank you for this opportunity. The results were above expected. This is good. But I am concerned about what you said on Mata de Santa Genebra. You had an impairment of over BRL100 million. What is the return that you expect for this?And do you have a possibility of reverse those impairments? And also related to that, how can we avoid or how can COPEL will do the better use of cash from now on? You mentioned that, probably, you are not increasing the payout level, because you are going to look at other opportunities and you will have to maintain your cash flow positively, right. So, I would like you to comment more on that.How do you look at Mata de Santa Genebra? How do you look at potential investments? What is attractive and what is not? And you feel you have to change anything in terms of decision-making process to avoid investments that are non-performing?
Adriano Rudek de Moura: [Interpreted]Thank you very much and you have very good questions, especially considering the recent history of the company. So, addressing the first question about Mata de Santa Genebra, the only thing that was not exceptional in this quarter that was, the only thing that was not good in the results of this quarter effectively was non-delivery for August 31, which was forecasted in our business plan and its review now is planned to – up to February of 2020 since the work.Construction works have been concluded in 91%. We feel comfortable, because, this is a new policy and Mr. Bertol is following up on a weekly basis this subject also with CEO, but we want first to deliver this construction already under the new plan and look for in this period some alternatives that might improve the profitability that have been lost in this project.So, this is smaller, but I should highlight, there is a consequence policy here in this company and I already mentioned that that is in regard to the managers that do not execute. So, now we have to conclude this 8% final that we need to end and then look for possibilities for a financial settlement to improve the results that we have lost here.About the capital allocation discipline, what we are doing is exactly that we are learning from the past the creation of this investment committee is almost to basic, but it’s being instructed in a very organized fashion here in the company. And the project’s execution also is a challenge, because these large recent projects would start with a CapEx and would end at very different conditions.So, this is what the company has learned and we are trying to be more cautious, more conservative and we are looking for projects that mainly will maximize our current assets. We just talked about Vargas to buy and invest in brownfield projects such as that was in – will that produce an exceptional return. So we are working on a staged process.Again, we are betting a new business that’s new and innovation, so that the company becomes more modern. Moura?
Adriano Rudek de Moura: [Interpreted]Yes, I have an additional comment. This is already happening if we consider the history of the last three years or a little more, COPEL does not have – does not get auctions in which we are not competitive. So, we do have our mix. We assess opportunities.But we have entered in projects that we know that will bring a good execution and that the results will be good. This is a recent – this is what we have in our recent history.
Lilyanna Yang: Perfect. Thank you so much.
Operator: [Operator Instructions] If there are no further questions from the participants, we turn the floor back to the company for their final remarks.
Daniel Pimentel Slaviero: Once again, I would like to thank you very much for being with us in this call. Thanks to all our officers that are here and we continue with a focused work here. Thank you very much for being with us.
Operator: Ladies and gentlemen, the conference call for COPEL about the results for the second quarter of 2019 has ended. Thank you.